Operator: Welcome to the DSV Results for Q3 2024. Today's call is being recorded and expected to last one hour. For the first part of this call, all participants will be in a listen-only mode. Afterwards there will be a question-and-answer session. [Operator Instructions] I would now like to introduce Group CEO, Jens H. Lund; and Group CFO, Michael Ebbe. Please begin.
Jens H. Lund: Thank you very much. Thank you very much for participating in our Q3 call. We have an agenda where we go through the highlights, the business segments, a little update on NEOM financial review and then also a little bit of update on the time line for the Schenker transaction. And then as usual, we will then start with the Q&A. But before we do so, you should have a look at the forward-looking statement so that you are aware of this clause. It's actually on Slide number 2. If we move on to Slide number 3, we will go into the highlights for the quarter. I think the sort of very large milestone is obviously that we announced to acquire Schenker in September. And we've also raised capital to do so early October. So I think we are on a good traction and journey there. We, of course, look forward to closing the transaction and welcoming all our new colleagues from Schenker to the DSV team as well. We look very much forward to that. On the Q3, we've had solid results. I think that we've seen that we now also year-on-year, grow on EBIT. It's the first time that we've done that for quite a while. So we've definitely seen that we come out of the trough and are slowly starting to see growth again. So we're very happy about that. When it comes to the GP, we are up 4.8% and also our EBIT, as I just alluded to, up 1.5% in constant currencies. And we can also say that our EPS is growing sequentially for the first time since Q4 2022. And we have produced also a solid cash flow that demonstrates that there's substance in the numbers that we produce. Finally, we have narrowed our guidance from DKK15.5 billion to 16 – or from DKK15.5 billion to DKK17 billion to – from DKK16 billion to DKK17 billion. So I think that was sort of some of the highlights for the quarter. If we then move on to the next slide, Slide 4. We can see from the air and ocean results that we produce now higher gross profit. So that's predominantly through higher volumes. Yields have come a little bit up in the ocean freight, a little bit down in the air freight area. But all in all, we are up 5.2%. If we look at the conversion rates, we have still healthy 50%. We are very happy about that. The productivity is also going up. We're up 15% compared to last year. So I think one thing that we have to be aware of is that we do see some cost inflation. That's also the reason why we have decided to have a program where we take out costs. Michael will get a little bit back to that later on. So if we move to the next slide, on the air freight. I think here, it is visible that we do gain share. We are up 7% for the year and 8% on the quarter. We have good traction here. And the yields are sort of stabilized around 8,500, actually a little bit more in the quarter and slightly up from the last quarter. I think we still see very strong volumes out of the Asia Pacific. We do grow, for example, within tech. That could be one of the verticals where we are doing well. And I think that it's basically a network business that we're growing on, and we're very pleased with that. I also think if you look at our air freight, we are not specifically active within e-commerce and perishables. So that's important to note when you look at the figures. And it probably also explains our yields a little bit on the air freight as well. If we move to Slide number 6, it's the ocean freight. Here also a solid quarter with solid growth. Year-to-date, we are up 7%, as you can see from the chart, and we are up 8% on the quarter as well. We see strong export volumes out of the Asia Pacific area. So also here, we have solid traction also compared to the market. We do believe that we take share as well. If we look at basically for air and ocean, we see very high customer satisfaction ratings. We're very pleased with that because this constant feedback helps us to improve our service so that we really meet the requirements of the customer. If we move to the next slide, on road, we can see that the road market is tough at this moment in time, in particular, in Europe. And it's hard for us to basically keep the same profit level because our GP is not really evolving. So we still have a GP margin around sort of 19.5%. But as you can see, it's declined a little bit from last year. Our conversion ratio is also a little bit down because of cost pressure. So, our operating margin is hovering around 5.2% at this moment in time. We see the lower activity in Europe, it’s, of course, related to automotive, it’s related to retail. Europe has slow growth at this moment in time. And we need to continue to focus on the productivity in the Road division so that we drive basically the shipments per person up. We are already doing that and have been doing so for years, but it has extra focus right now. So, we do expect also that the fourth quarter because the market situation is – or has developed in such a direction that the customers have pushed our prices down. We’ve sort of pushed the prices down via the subcontractors. The subcontractors or the hauliers. many of them have now gone out of business. So we see that the capacity situation is changing. It’s harder to get capacity. And this then drives the haulier rates up. And of course, these increased rates at the end of the day, will also have to be borne by our customers. So currently, we are out with price increases on the Road side so that we have a model where we also ensure that our hauliers, they can exist as well. So, this is basically what is happening on the Road side right now. I think we will probably see that these increases will gradually get impact and probably only sort of really have a solid impact in the first quarter of next year. So, we will see a fourth quarter where Road will have a little bit of a difficult situation, but nothing that we can’t get over with. If we move to the next slide on Solutions, we actually have seen that our occupancy rate has increased a little bit compared to the last quarter. And we also see that the number of order lines we produce, so our activity, it’s moving in the right direction. So, for this quarter, we actually expect that we can get the utilization rate a little bit further up and that we continue to produce more transactions as well. So, the activity level is going to be a little bit higher. And this, of course, drives gross profit. And then we need to ensure that we have the right cost base so that we convert this into margin. And we are currently hovering around 10% in EBIT margin, which is among the highest in the industry. If we then move to the next slide, we have a short update on NEOM. It’s actually going to be pretty short, because as we also said after the second quarter, then the news is that we’ve now got sort of regulatory approvals in place, which is positive, but the project is an infrastructure project and is ramping up slowly, probably also a little bit slower than we originally anticipated. So, we’re going to see limited activity in Q4 as well and probably also in the early part of 2025, it will ramp up slowly. Apart from that, of course, we expect the returns to be generated – that we have to generate there, but at this stage, we don’t have to deploy a lot of capital in NEOM. So, I think that’s what we can say on NEOM right now. And I think now Michael will take over from Slide 10 and go a little bit deeper into some of the numbers. So please take over, Michael, and I can rest my voice a little bit.
Michael Ebbe: Thank you, Jens. Have some water. So, just a few highlights from our profit and loss statement. As Jens mentioned, the financial performance has continued to improve here in third quarter compared to the same period last year, which is, of course, is satisfactory. We especially see significantly higher revenue due to the growth in volume and also the prices compared to last year, which are also impacting our net working capital, which I will come back to shortly, and also diluting the margins, given the passthrough that we see. Jens already touched a little bit on our cost development, it’s an area that we need to keep focus on, as also mentioned, and also why we started this initiative that we have. We do see pressure on the cost base. We see, of course, the general cost inflation and salary inflation but especially, in terms of our license costs from IT, from our software providers is something that we can see that we really need to struggle with in order to keep the cost base in an orderly manner. And then as you can see also the net interest cost has increased due to the leasing commitments and then also the interest rate that we see. If we then jump to Slide Number 11 where the cash flow and some financial KPIs as well, I’m pleased to see a strong cash flow here in the third quarter that we have. It’s of DKK2.5 billion. So, that’s very satisfactory actually. If you look towards the last year, then you will see, like we talked about at last quarter, that the net working capital has increased due to the activity levels. We have, however, compared to last quarter, slightly improved our net working capital, which we also had spoken about earlier. There are some properties which will bring it down and then we have increased activity, which will bring it up. So the ratio is 4.7%, as you can see right now. We continue to work with the net working capital and expect it to stabilize around 3% when we come to the year-end, of course, depending on the volume that we have. And our gearing ratio is 1.7 times when we said earlier that we need to be below two times. And our NIBD is around DKK38 billion, and this will be the last quarter where we see this size. Next quarter, it will be much less given the proceeds of our equity ratio earlier on this month. If we skip to Slide number 12. As mentioned, we had a capital increase. So that also gave us some proceeds from that one, which will come in here in October. And of course, we will have a new number of shares, as you can see. It also means that we have stopped our share buyback. So this will more or less be status quo from next quarter as well, given that we have stopped the share buyback and has also paid out the dividend. Our treasury shares is – after the increase, is around 2.4% of the total share capital. I go to Slide number 13, which is the outlook. As Jens mentioned, we are already earlier this month, adjusted our outlook a little bit where we narrowed our guidance. So this is – it's a little bit different, as also Jens mentioned, that we continue to expect growth on the Air & Sea product and slightly less in Road given these things that Jens has already mentioned and then more or less, also growth in Solutions. That is what we expect. So – and then our, you can say, operational efficiency initiatives, also something that we have not seen significant impact on right now, we expect to see that in Q4 and Q1, like Jens also mentioned, again, depending on the general inflation and activity levels that we have. If I go to Slide number 14, that – as you most likely are aware that we announced the agreement to acquire Schenker in September, depending on the approvals from the Supervisory Board and for the government in Germany, and we received those approvals 2nd of October. And right on the back of that, we launched a capital increase in order to partly finance the transactions that we would have to pay as soon as we have done all the regulatory approvals, which we are working on right now, we started that already the day where we announced the acquisition. So that is full speed ahead of that. And we have already received some approvals and, of course, continue to chase them around the world. Then the next step in this is that we would like to raise some bonds, and we're looking into when that can be but expectedly here in this quarter. We're looking into that currently and see how much that will be. And then we expect to close the transaction in Q2. Hopefully, it will be in the beginning of Q2. That's at least what we will work hard on. And then when that day comes, we will, of course, give some updated outlook for 2025 and a little bit more details about transaction and the future around that. I think that was it from my side, Jens. Talk back to you.
Jens H. Lund: Good. So key takeaways is that we are back on year-on-year – year-over-year growth. I think that's something that we're very pleased with. I think that we've generated solid cash flows here as well in the quarter. And of course, that we have upgraded our guidance. And I think I could also add a little bit more color on the competition filings. I think we've already got approval for actually in five jurisdictions. So I think we are on a good journey there. And I think people recognize that the market is highly fragmented. So learned that China has put us into a way of approving the transaction where it's considered the, what can I say, simple process, I believe, they call it. And this means that they do not see any major obstacles, at least not for now. So we hope it continues like this so that we can get the deal closed as quickly as possible. Anyway, if you skip to the next slide, you can see that now we will have the Q&A session. [Operator Instructions] So with that said, we look forward to welcoming your questions.
Operator: Thank you. [Operator Instructions] The first question is from the line of Alexia Dogani from JPMorgan. Please go ahead. Your line will now be unmuted.
Alexia Dogani: Good morning. Thank you for taking my questions. Just firstly, on the composition of your gross profit in Air & Sea. Can you discuss a little bit of the mix changes you've had to kind of pre-pandemic to now? And what percent of the value-added services is represented in the gross profit? And then secondly, when you think about demand into Q4 and 2025, obviously, we’ve seen you raise your market growth expectations. One of kind of the big liner has done the same. But we get a little bit of mix messages from the market in different sectors warning. I guess, what is the underlying demand backdrop currently? And do you think that given you’ve now generated growth in Q3, and can that be sustained in the next couple of quarters? Thanks.
Jens H. Lund: Okay. Well, I think I can answer these questions. I think if we look at the mix right now, if we look at the ocean freight, I believe that basically, the main part of the income that we generate is actually based not on the freight markups, less charges, but basically on services that we render, it can be documentation, it can be consolidation services, local distribution, collection, et cetera. So I would probably say that around the 70% mark or something like this. It varies a little bit, can go down to the late 60s up into the 70s as well on the ocean freight. If we go into air freight, I think the freight-related part is actually higher, the markup we have on that. So it’s probably 50% to 60% that is freight-related on air freight and then the rest is basically our consultation services, et cetera. Of course, the freight-related part, you can then discuss, if we charter a freighter, have we procured significant volume. What is that? How should you to characterize that? But we characterize this then as freight-related when we look at it. But here, of course, we commit on some capacity, and then we can utilize that where we have significant volume. So hopefully, that sort of answers your question. I think if you go back to COVID, it’s clear that both on ocean freight and on air freight, the freight-related part was significantly higher of fees or the income that we generated as our value add is much more stable over the period. Then I think Q4 demand and the market itself, I think it’s – we are in a situation where we do take a bit of share. And of course, we have some visibility now into Q4. I think that we can continue to do so. We also think that our commercial approach and the way we approach the market probably leads to a situation where we can gain a bit of share in 2025 as well. I think the market will be somewhat subdued. If you sort of look at the GDP development is normally very closely correlated to the development in the freight volumes. And I think if we look at the global economy, I don’t see areas in the traditional markets where we’re going to see significant growth into Asia, obviously. But for example, Europe is growing very slow. And the U.S. has a little bit more pace. So I think that’s what we can say on the outlook right now when it comes to the markets and the volumes.
Alexia Dogani: Thank you.
Operator: The next question is from Lars Heindorff from Nordea. Please go ahead. Your line will now be unmated.
Lars Heindorff: Yes. Thank you for taking my questions. The first one is on the Road business. Clearly, you had a bit of pressure, as you mentioned, Jens, on the gross margin. But the top line is still growing very, very nicely, around 10%. So I don’t know if you could give us any kind of indication of – I mean, how much of that, I assume that prices are down still. So is it just volume? Is it mix effect that is causing this top line growth? That’s the first part. And then maybe a little bit related to that, how the price increases has been received by your customers? And then the second part is on NEOM, clearly, a bit of delay in terms of the approval. And now you say you’re ready to start, but it’s going to be a slow start. What will be the CapEx commitments this year and also next year? And can you give us any kind of indication of likely earliest contribution from the JV into next year? Thanks.
Jens H. Lund : Yes. I think if we look at Road, we produced actually significantly higher volumes than last year, so prices are definitely down. So that’s the current status on Road. Then we’ve been out with price increases to offset some of that also taking care that we can pay our hauliers. But as you can see, our GP margin is also lower. So we certainly also contribute to this situation right now. We have to rebalance this, and it’s something we’ve experienced before as well. So I think we will now have some difficult discussions with our customers because they are not necessarily in a situation that is very positive either. But then, of course, we are in a situation, the market is, as you know, very fragmented, then they test the market. And then normally, actually, they find out that – or raise their market conform. And then I think the thing settles. I think, of course, it's upsetting for the cost, but they have to pay more. But I think they can always have the comfort in a situation like this that they test the market and then they have certainty that the price increases are relevant. If we take NEOM and the delay, I don't think we're going to deploy significant capital at all this year. And it's probably also going to be in the low end next year as well there. They do take a little bit longer to ramp up the projects. So I wouldn't add very high CapEx in 2025. If I then look at will it mean something significant for us, it will be a one line at the end of the day and it's probably not going to be significant at this stage. But we're definitely expecting that the ramp-up will start doing 2025. So in a way, if you sit and look at it, perhaps you should take your model that you did initially on NEOM when we announced it last year and basically move it one year out, perhaps even a little bit more. Then I think you would be in a safe place. And then, of course, we will see they have tracked a little bit out some of the projects, but I'm sure that they want to complete or risk the milestones that they have set out. Otherwise, they will announce something different. And then, of course, we will adjust accordingly.
Lars Heindorff: Thank you.
Operator: The next question is from Amy Li from UBS. Your line will now be unmated.
Amy Li: Hi, thank you for taking my question. My first question is on your comment that we will not see further meaningful support to GP per unit from the refi benefits going forward. And I just want to ask how should we think about the normalized GP per unit in ocean next year. And my second question is on the commercial initiatives in Air & Sea and then increasing the wallet share of your customers. How do you think about this strategy going forward, considering that the Schenker acquisition would double your volume? Would you go back to prioritizing yields in the next quarters and take out maybe some low-margin cargo from your network? Yes, those are my two questions. Thank you.
Jens H. Lund: Yes. I think if we look at the GP per unit, I think you've seen a competitor of ours also report today, you've seen us. You can see there's a small uptick in sort of the lower single-digit percentages. I think – so we basically say the same thing. We announced the same thing when it comes to that. That will probably at a certain point in time, go out of the numbers, again. Whether it will then happen in Q1 or Q2 next year, time will tell. The market a little bit decides when that happens. But I don't think that we should expect that – I think actually, if you look at air freight, I think we can all agree that it's very stable at this stage. Now on ocean freight, the last, let's say, three, four quarters, apart from this little adjustment on the Red Sea, it's a very marginal part of our GP that has come up. But of course, you can see it in the numbers. I think this will then be arbitraged away and then you will basically plateau at a certain range in this level. We have sometimes set some numbers. We don't really want to do this because what we focus on is to create some more GP at the end of the day. So I think that's what we can say on that. If we look at the commercial approach, I think it's a misconception that we want to grow the share of wallet with our customers by sort of sacrificing our yield. I also think that if you look at the numbers, this is not what happens. But we do want to grow the share of wallet with our customers because we increased the pipeline. So we try to get into a position where we are relevant for more business with our customers. And then this is basically the approach that we are taking. And I think when we get Schenker in, actually, I think it supports our commercial approach because our service catalog will be stronger. So we'll be able to produce even more services for our customers. And you have to remember that our market share is globally less than 7%. So of course, there can be a customer where we have a larger share of wallet and there will be customers where we will have, I don't know how I should express it, but we will probably – normally a customer would always accept that you produce, let's say, one-third of their volume. Some customers would then think if you produce more than that, that then they might reduce the volume you produce a little bit. But we don't think that it's a considerable overlap at all. So we don't expect to end up in that situation very often. So we do expect that all sort of offering to many customers where we have a smaller share of wallet, it will actually allow us to basically grow our business once we’ve integrated Schenker. So I think Michael also has a comment on that.
Michael Ebbe: Yes. I think you also asked in the line of Schenker. And when Jens said 7%, that is the estimated combined market share that we will have going forward. And then to be clear, I don’t think that there will be any differences in the way that we work on the commercial approach from the things that we have seen. And with Schenker, they’re much similar to our way, our culture and also extremely focused on the customers as well. So I think this will continue in a stronger context when we get to the closing.
Amy Li: Okay. Thank you very much.
Operator: The next question is from Ulrik Bak, SEB. Please go ahead. Your line will now be unmuted.
Ulrik Bak: Yes. Thank you for taking my questions. The first one is on your comment about your all-time high customer satisfaction in ocean. Can you perhaps share how much it has improved year-over-year? And whether this is a KPI that you have increased your focus on since your strategy change to increasingly target larger customers? And then also if you can provide some flavor on what factors drive this high customer satisfaction? Second one is on the Road business. I read that the European Union, they are rolling – partly rolling back some of the mobility package factors, the thing about trucks needing to return to their home country every eight weeks. So just your view on how that will change the market dynamics because I guess it would increase the supply of trucks. Yes, that would be my two questions. Thank you.
Jens H. Lund: I don’t have the exact numbers for that. So we will probably have to get back to you on this number. But we measure, we call it NPS scores, Net Promoter Scores that we measure on our customers, and we track that every month how it’s going. And I think it’s definitely been moving in the right direction for many months in a row. And if I shoot off the bat, give some kind of a number, I think it’s around 30 on a group level when it comes to the NPS score. And I think this system, it actually allows also so that you compare to other companies. There might even be places where it’s a little bit higher. And I think that’s, in particular, on the ocean freight as we also mentioned here. So I think that’s basically it when it comes to that. I think on the mobility package, I think you’re absolutely right. I think the politicians have seen that it makes very little sense that we have to drive trucks back to countries where they come from with a certain time intervals. Basically, they run idle. So we consume a lot of fuel and basically increase the CO2 emissions just to take the truck then back to the place where the volume is. So I think that is being changed as well. It can also be that there’s some pressure from the industry because this certainly has also been taking out capacity and it drives some of the price increases as well. So sometimes regulation is put in and there’s many good reasons for it. And here, perhaps it could be changed a little bit so that it works better for all parties.
Operator: The next question is from Muneeba Kayani from Bank of America. Please go ahead. Your line will now be open.
Muneeba Kayani: Good morning. I wanted to ask a bit more on your market share gains. Are these coming from your large customers as per the strategy you laid out earlier this year? And can you give a bit more color around the verticals which are driving that? You mentioned technology sector in air. And just generally, how have your competitors responded to your market share gains in the Air & Sea markets would be good to understand? And then just a housekeeping question around market growth. What do you think was market growth in Sea and Air in the third quarter compared with your 8%? Was it around 5%? And should we be thinking about kind of that 3 percentage point delta or your outperformance going forward? Thank you.
Jens H. Lund: I think I can take the first one on the large customers. Michael will talk a little bit about the market. If we take the large customers, I think – I mean, we have – we use the terminology new logo or we use the terminology that we grow with existing clients. I mean there might be other terminologies for that, but this is basically how we see it. I would say that the most important part of our growth, it actually comes because we have expanded our share of wallet with existing customers. So it means that we present our service catalog to the customers in a more structured way so that we basically get into the tender processes for businesses that where we are not in the tender process today. And then as you can see from the numbers, we actually then win some of those volumes as well. Of course, then we've also, through, for example, our vertical setup, as an example here on technology. We have then managed to get some new logos and actually some very prominent logos as well in the tech area. I mean, tech is, of course, a very important part of the economy today. So it's something that we've had in focus. And here, we've also managed to attract some very important business. So I think this is basically what is happening in those areas. And we are in phase now where we implement many of these accounts, these new logos and get the volume onboarded. And that's also one of the reasons why we take share because we have then increased basically our pipeline and we've then managed to acquire some of this business. And then we grow a little bit faster than the market. I think this is basically how it functions.
Michael Ebbe: In terms of our estimated market growth, if we start with the sea, then based on our sources, and remember, that's without perishables and e-commerce. But for the perishable part for the sea, we estimate it's around 5% to 6% growth in third quarter compared to last year. And if we go into air, similar here is without perishables and e-commerce part, we estimate according to our sources, that the market is up 6% to 7%-ish in third quarter alone.
Muneeba Kayani: If I may follow up. So do you expect a similar kind of outperformance versus the market going forward? And Jens, how have your competitors reacted to your market share strategy?
Jens H. Lund: Well, I think we have actually only started basically this journey this year where we've revised sort of our commercial approach a little bit. I do think that, of course, the competition, they try to react as well, perhaps they have a similar approach. But I think it certainly helped us and we do expect to see that we can grow a little bit faster than the market. This has actually always been our plan. But now we have some substance behind it, and there are several initiatives that we will sort of continue to launch as part of a road map on this journey. So we should be able to continue to grow a little bit faster than the market. That's our whole aspiration and also that we actually know why we do it. So that's a yes.
Muneeba Kayani: Thank you.
Operator: The next question is from Alex Irving from Bernstein. Please go ahead. Your line will now be open.
Alex Irving: Hi good morning. Two from me, please. First of all, on the DB Schenker integration you gave some initial color about a month ago. What incremental color can you share with us today regarding your integration plans or targets synergies for the benefit of another month having passed? Second question is also on M&A but a bit more long term. It seems like this might be the end of the line for the big Air & Sea deals. Once you have completed the integration of DB Schenker, how would you expect your approach to M&A to evolve? Are we talking more bolt-ons, more focus on resolutions deals, less on mechanic growth, something else? Any color there would be much appreciated. Thank you.
Jens H. Lund: I think if we look at the Schenker integration plans, this is actually – we prepare as much as we can before we close the transaction. So this means that right now, as you can imagine, there would be some activities that would be in Deutsche Bahn. The carve-out of them is basically sort of taking place right now. We would then – Michael explained about the petition filings. This is what we're working on. And then what we can do as well, we can try to start to plan and to cooperate a little bit with the Schenker team as well. But it cannot be something that involves customers or vendors. So it's more structural, what we do. We can make integrations so that our systems, they can talk to each other, and we can do the planning as well. So this is basically normal, and it's similar to what we've done on other transactions. And here, I'd just also like to call out that during the process, I think Deutsche Bahn and the Schenker team, they acted very professionally. And we are happy to see that they continue to do so. And we shouldn't talk about as if it's a surprise because it isn't. They are professional and they're very proud of the business, and they should be. So I think everything is going ahead according to plan. And for us, it's an aspiration to, of course, get to the closing date and also get into the execution phase as quickly as possible to take out uncertainty, not least for the employees, but also for the customers as well. So I think we are all eager to get going. If we take M&A in general, then I think the logic that applies when we do M&A, it’s still the same. So there’s nothing changed on that. There’s – you get a stronger service catalog. You basically get economies of scale, so we get access to lower cost. And our industry is fairly unconsolidated. So I think we have to continue the journey we are on. We’re also, perhaps in quite a unique situation because it seems as if we are perhaps the only player that really has this strategy. But it served us well. We have, over the years, managed to grow our company. And soon, we should be the leading player in the industry.
Michael Ebbe: And then coming back to what you also mentioned earlier, Jens, that’s around 7% of the total market share. So it’s still a very fragmented industry. So I fully agree that the logic still apply.
Jens H. Lund: Yes.
Operator: The next question is from Dan Togo from Carnegie. Please go ahead. Your line will now be unmuted.
Dan Togo: Thank you. Two questions from my side as well. The first one, on the Road side. I don’t know if the Road market has developed slightly weaker than we expected, let’s say, six months, maybe even 12 months ago. And has that in any way changed your view on the business case on Schenker? And then potentially, what do you see as levers to mitigate here? And then a more household question on costs. With now sea and air coming into a mode with gaining market share, does that potentially trigger any bonus payments, et cetera, in Q4 that we need to be aware of? Thanks.
Jens H. Lund: Yes. I think on the bonus payments, I don’t think there’s anything materially you should take into consideration on that. If you take then the market situation in Road, I think overall, if you look at Road, you might have a quarter or two where, of course, you see larger swings in volumes, let’s say, the automotive industry, for example, in Q3, perhaps they leave their factories closed a little bit longer or things like that. That can also happen in Q4 because you also see that they downgrade the expected number of vehicles they have to produce. And then, of course, this will impact volumes. But then these things they happen from time to time, it’s very difficult to foresee. But normally spoken, the volumes on the Road side wouldn’t swing that dramatically over the years. Then if we sit and look at it and have to look at the Schenker transition, I think it’s actually – when you consolidate then the two businesses, it makes even more sense to do so, so that we have the volume we need in order to sustain the infrastructure that we have because running a European groupage network requires a lot of volume. And this business can then be sized so that we should have the volume that is required for the infrastructure we have in place. We will be a market leader in being able to basically produce very solid service on the groupage side. So I think overall, there can be minor changes. But right now, it’s not something that we’ve changed the business plan for.
Dan Togo: Excellent. Thanks.
Operator: The next question is from Cedar Ekblom from Morgan Stanley. Please go ahead. Your line will now be unmuted.
Cedar Ekblom: Thanks very much. Two questions from me. Just on Schenker’s Road business, my understanding is that, that business is slightly more capital intensive than DSV’s Road business. Is that correct? And if so, how do we think about any intention to sort of lower the capital intensity of the Road business you’re acquiring? And then the second question is just on your tech solutions or your TMS solution in your Road business. Again, I understand that that’s a business where you’re not using cargo-wise. That you’re looking to develop a system internally or find a different solution. How do we think about the tech readiness of your Road business with Schenker coming on board, considering that’s such a large part of that portfolio? Thank you.
Jens H. Lund: Yes. I think if we look at the infrastructure that is needed to run a European groupage network, we have overlapping infrastructure, DSV and Schenker. Then because Schenker has a larger volume on groupage they have more infrastructure than we have. But I think both systems have excess capacity. So we will then take and consolidate this infrastructure so that we rightsize it and also with the right capacity in there. Then I think there’s one thing more on the Schenker side, which we don’t know the full extent of yet, but perhaps they own a little bit higher proportion of their facilities where we take out leases. So the right of use as it is often a little bit lower than if you have the full asset on the balance sheet. So I don't think that the capital intensity will go dramatically up. It might be a little bit higher at the end of the day for the combined business but we will, of course, apply the DSV business model. When it comes to this, we try to be asset-light or as asset light as we can be on a business like this. Then when it comes to the TMS side, basically, Schenker has a platform that they are rolling out right now for the groupage business. I believe that they have rolled out some 15 countries. That may not be a lot because it depends on which countries we're talking about. Do they have significant volume or not and does the platform scale? But they have definitely proof of concept in place and they have rolled out a number of countries. And I think we can continue this rollout. In DSV today, we don't have a backbone either on the Road side that is European. So we will have to integrate and exchange data via our data platform. I think we are in a good position to do so, so that we get the events on the shipments and also the financial data transfer so that we have as little human intervention as possible. But of course, to do the planning and the order management in the most efficient way you would ideally want to have a single file system throughout Europe. That's clear. But we've not put this into the business case. What we have put into the business case is the consolidation of the physical infrastructure plus that we basically combined the two operations. So if we manage to do it on the systems side as well, I believe that we could have, what can I say, an even more positive outcome of the business plan that we've made.
Operator: The next question is from Casper Blom from Danske Bank. Please go ahead. Your line will now be unmated.
Casper Blom: Road and Solutions, okay, thanks a lot. Two quick ones from my side, please. In Road and Solutions, you're looking at conversion ratios that are currently at least 25%, 26% levels. And you still have your 2026 target of getting up to 30%. Could you sort of elaborate a little bit on the road to get there if you were to sort of look at this in isolation before taking into consideration the Schenker deal? That's the first one. Second question is a bit more of a housekeeping one. As Michael also alluded to, you are pretty much getting rid of your debt with the equity raise that you've just done. You also mentioned that you were looking to take in a bond issue here probably in this quarter. How should we think about your financials for Q4 and the first part of 2025 when taking that into consideration? Thank you.
Jens H. Lund: Okay. I'll take the commercial part. Michael will definitely go into the finances so that I don't go into this area. So I think if we look at the conversion ratios, we are talking about now we have this situation where the market is very much under pressure. They always assume that we have, what can I say a stable market, these assumptions. So I would think that Road would probably swing a little bit back plus the efficiency initiatives that we are making under the strategy plan should give us some tailwind. Then we can always discuss will it be for the full year figure 2026 or will it be in the last quarter? Or how is this going to pan out? But we certainly have a number of initiatives right now in the road map that will drive it forward. When we come to Solutions, I think it's a stretch to get to the 30%. We have plans in place where we increase our efficiency and our productivity. And it might be that we will not fully make it. But at least we have initiatives in place that drive the efficiency up. So I think that's what we can say on that. And then it's Michael.
Michael Ebbe: Of course, it will also help to get some volume in and, also on that. In terms of the financing side, I think when we announced the transactions, we also said back then that we wanted to take use of the equity market and do some bonds and then some long-term loans, so the total package will consist of these three elements. We can now put a tick mark to the first one with the €5 billion capital increase. And the next phase is, as you said will be the bond issuances. And we haven't, you can say put us to a final number on that one, neither final timing, but you can expect that it will be here in Q4, if there is an opportunity to do so. And then the financing part for the bond will be bigger than the long-term loan. And that is how we believe it would give us the best; you can say cost of capital, and at the same time the flexibility. So that would be our going in for the financing part.
Casper Blom: That's very clear. And just as a small follow-up, if we are to sort of to think about your interest costs in the quarters, is it fair to assume that, that's going to be next to nothing or even a positive when we go into 2025?
Michael Ebbe: That will be – you could say, yes. I think that will be it. Remember, it's only the marginal that if we issue a bond and then we will have some deposits until we have to pay the purchase price. So it will only be the marginal, you can say that, that will be on the interest line.
Casper Blom: That’s very clear. Thanks a lot guys.
Operator: The next question is from Peter Sehested from ABG. Please go ahead. Your line will now be unmuted.
Peter Sehested: Thank you for taking my question. I have two with respect to the productivity, which in our first quarter rose, and it's up 50%. I guess, that is based on shipments per employee. Could you just talk us through to the impact on the bottom line? Why – I know that you just said sales are going up, et cetera, et cetera. But should this expected to continue into 2025? And how should we expect this to impact the bottom line? And what do we actually see in terms of the positive impacts right now? And then I'll come back with the second question as well.
Jens H. Lund: I think if we look at the shipment increase, it's compared to the year before that we've measured that. It would be nice if we could get a productivity increase also into 2025, that is 15% up. We'll definitely get a productivity increase, whether it will be double digits. We will see it depends a little bit on what we get out of the initiatives. We do have a lot of initiatives in the road map right now. But I don't expect that we can go out and say it's going to be 15%. Then I think it's clear, this year, we pursue 8% more volume. Actually, the number of shipment is higher, the increase in that than the number of volumes. So in order to arrive at those numbers, we might be 10% up on the number of shipments per FTE. Then, of course, we have a situation now where we've faced inflation and we're basically seeing salary inflation, which, I guess, has been seen in many sectors. Also, in our sector, I think this will normalize now. That's not this pressure because of inflation that there has been anymore. Then I think if we also look at it, we face very, very tough increases on the IT side for licenses from our vendors. It's a big problem for us because they don't relate to productivity. It's not that we get extra productivity. We just get higher bills for the services. So it's something that is very difficult to produce a way out of at this stage. So we have to face that effect. This is also the reason why we now have the cost program so that we try to counter some of these things. And of course, at a certain point in time, we also have to look at how we address the other topics.
Peter Sehested: Thank you. So the second one will be, again, on the new operating structure. I think back in – alongside the Q4, you talked about the reason – one reason for doing this would also be sort of to mitigate any potential client losses, if you were to do the Schenker deal and also potentially to get better underlying organic growth performance during the integration process than you had in the past. So my question is, should we expect you to deliver higher organic growth during the Schenker process integration compared to past? And do you also – because I think you said previously that you expect to lose 5% of new volumes coming in. But should this actually be lower than 5% now with the new commercial structure in place? Thank you.
Jens H. Lund: The commercial structure should secure more ownership at an earlier stage. So I think we'll be able to do the customer segmentation and be ready with that sooner than before, so where we had a more decentralized approach. And this means that we will have a dialogue with the customers faster. And normally, that should basically result in lower churn at the end of the day. Of course, this is our expectation. We've still not disclosed any numbers on the business plan. But your thesis is right, it should produce a situation where we have a better outcome.
Peter Sehested: Perfect. Thank you very much. And just a follow-up on the IT question. Exactly what kind of costs are these about? And why are they going up so dramatically? Any changes driving that?
Jens H. Lund: It's because the vendors, they sort of have increases around 15% yearly on the license. They probably also face some inflationary pressure, but I think we have to also get into a situation where they have increases that are similar to our increases as well. Otherwise, we will have to figure out how to – what can I say, it will come a business case for us perhaps to change some of our infrastructure then if the prices they continue to increase like this. So I think that's what I can say on this right now.
Michael Ebbe: Yep.
Peter Sehested: Thank you very much.
Michael Ebbe: You’re welcome. I think we've sort of reached the end of the presentation. Thank you to all the DSV employees and also still we look forward also to meet and greet the Schenker employees as well. Thank you for all your efforts. Thank you for you guys on the call, investors, analysts and all other stakeholders with an interest in our company. It's been a pleasure the last quarter to be in dialogue with you all, and we look forward to continue the dialogue in the coming quarters. Have a great day. Thank you very much.